Katherine Tonks: Welcome, everyone. With me on the call today are John Evans, our CEO; and Mark Foley, our CFO. The results press release is available to download on our website, along with the presentation slides that we'll be referring to during today's call. May I remind you that this call includes forward-looking statements that reflect our current views and are subject to risks, uncertainties and assumptions. Similar wording is also included in our press release. I'll now turn the call over to John.
John Evans: Thank you, Katherine, and good afternoon, everyone. I will start with a summary of the third quarter of 2022, before handing over to Mark to cover the financial results. Turning to Slide 3. In the third quarter, Subsea 7 delivered a robust performance in Subsea and Conventional, whilst our performance in Renewables stabilized. We announced an important transaction for our Subsea business, the creation of a new joint venture with Schlumberger and Aker Solutions. We also announced an equity raise and new lending facilities for Seaway7. Turning to Slide 4. In the third quarter, we continued to make progress in decarbonizing our fleet, with a commitment to convert the Seven Arctic to hybrid power. Conversion will take place at the time of the vessel's class survey next year, and will reduce our CO2 emissions by around 5,000 tons per annum. Turning to Slide 5 for the customary update on our largest projects. In Turkey, the fast-track Sakarya project has reached 73% progress, up from 50% at Q2. The main shallow water umbilical scope was completed during the quarter, and the Seven Arctic siled into the Bacalhau Straits commencing installation activities in Q4. Sangomar reached 64% complete with the spooling of the pipelines at our base in Vega in Norway, and mobilization of the Seven Vega and Seven Oceans to Senegal followed by pipeline activities in the field. In Brazil, we continue to manage fabrication of the CRE pipeline for the Bacalhau project, and we are preparing the Ubu spoolbase to commence welding operations. At Mero 3, procurements continued. Our vessels were also busy on TOPR project in Trinidad and Tobago on the Kobra East Gekko project in Norway and on Equinor's Northern Lights carbon capture project. In Renewables, we have installed 65 foundations and 43 cables for the Seagreen project by the end of September. All 114 jackets have been dispatched to the UK from yards in China and the Middle East and we remain on track to complete the work around the year-end. Finally, we commenced offshore activities on Dogger Bank A&B with the Seaway Strashnov and reached 29% completion at the end of September. The vessel will leave the field for the winter season as planned and will return in 2023 to continue the offshore phase. Turning to Slide 6. In Q3, we rolled out to make possible, a way of simplifying how we communicate our strategy to our stakeholders, both internally and externally. Our strategy continues to be built around our foundation of our six values. Wherever we operate and whichever sector of the energy landscape, these are the six principles that guide us. On the right, we have the key enabling elements that make our strategy possible, namely, early engagement, collaboration, integrated services, sustainable delivery, digital solutions and enabling product. These apply across all the sectors in which we operate, whether we are addressing surf, wind, CCUS or hydrogen. Ultimately, our ambition is to support our clients by delivering energy transition solutions that will enable both the continuous evolution of a lower cost – lower carbon oil and gas and the growth of Renewables and Emerging Energy. Turning to Slide 8 and our joint venture with Schlumberger and Aker Solutions. The Subsea Integration Alliance has been the cornerstone of our integrated offering in Subsea and has been a great success with $4 billion of awards net to Subsea 7 since January 2020. In September, we announced that Subsea 7 will be investing $306.5 million for a 10% stake in the new joint venture that will combine Schlumberger's 1 subsea and Active Solutions subsea operations into one NewCo. Our payment will be made in two equal installments post the completion of the deal in the second half of 2023 and in 2024. The joint venture will become Subsea 7's new partner in the Subsea Integration Alliance, replacing Schlumberger. So what does this mean for Subsea 7? First and foremost, the aim of the transaction is to strengthen our long-term position in the subsea market. We do this with a view to both the near-term opportunities that will result from the current up-cycle, as well as the longer term, as Subsea continues to be a key part of the energy transition. The transaction is part of the strategic jigsaw that will keep Subsea 7 at the forefront of the industry and ensure we maximize value creation, and ultimately, free cash flow generation for our shareholders. By acquiring a 10% stake in the joint venture, Subsea 7 will be cementing its relationships with our partners in the SIA. We will take one of the six seats on the board, which will give us visibility over the Subsea Harbor strategy as the industry evolves through the energy transition. We will also become a part-owner of an umbilical manufacturer, a key element in our supply chain and, of course, we will receive a dividend from the NewCo. Turning to Slide 10 and the funding of Seaway7. In recent weeks, a $200 million equity raise has been completed, as well as the finalization of debt facilities of $450 million to give a total liquidity of $650 million. This is sufficient to cover the upcoming CapEx commitment related to Seaway7's new-build program as well as minor vessel upgrades and dry docks. It leaves Seaway7 fully funded and the two state-of-the-art offshore installation vessels due for delivery by the end of 2023. Reflecting the strong outlook for offshore wind and reaffirming our belief that Seaway7 shares are materially undervalued, Subsea7 subscribed to 72% of the equity raise, maintaining our shareholding. This was mirrored by the two other large major shareholders in Seaway7 – Songa Offshore and Lotus Marie. The two steps in Subsea and Wind together strengthen our position across the energy landscape at the time when demand for both traditional and new energy resources continues to grow. I'll hand over to Mark to now run through the financial results.
Mark Foley: Thank you, John, and good afternoon, everyone. I'll begin the financial results review with some details of group performance in the third quarter, before turning to the business units. Slide 11 summarizes the backlog position at the end of the third quarter. Order intake was $1 billion, bringing the year-to-date book-to-bill to 1.1x resulting in a group backlog at the end of the quarter of $7.1 billion. Other intake included $600 million of new awards, including Gas to Energy in Guyana, Trell & Trine in Norway and the Moray West offshore wind project in the UK. The Renewables backlog of $600 million excludes projects for which Seaway7 has been selected as a preferred bidder. Escalations of approximately $400 million, comprising variation orders and contractual price escalations across several projects were partially offset by unfavorable foreign exchange movements of the Norwegian Krone, Brazilian Real felling and the euro against the dollar of approximately $200 million, $1.3 billion in backlog is expected to be executed in the fourth quarter and $3.2 billion in 2023. Turning to Slide 12 on the headline results for the group. Revenue was $1.4 billion, broadly flat year-on-year, as we continue to execute a large EPCI project in both Subsea and Conventional and Renewables. Adjusted EBITDA of $171 million was down 7% compared with the prior year period, and the margin decreased to 12.2% from 12.8%, reflecting the high level of contract closeouts in the prior year quarter. Other gains and losses was negative $23 million, driven in part by non-cash embedded derivative foreign exchange movements. This together with a high effective tax rate due to a shift in operational profitability towards high tax jurisdictions and the impact of irrecoverable withholding taxes combined to impact net income, which was breakeven in the quarter. I will now discuss the drivers for the group results in the next few slides. Slide 13 presents the key metrics for Subsea and Convention. Order intake was $700 million, equating to a third quarter book-to-bill of 0.7x, resulting in a slight sequential dip in backlog to $6.5 billion. Revenue was $1 billion, broadly flat year-on-year, reflecting good progress on the fast-track Sakarya project as well as our other large EPCI projects. Adjusted EBITDA was $142 million with a margin of 14.3%, down from the 15% in the third quarter of 2021. This reflects a continued strong underlying performance in the quarter, but with a lower contribution from project closeouts year-on-year. [Indiscernible] Renewables performance metrics are shown on Slide 14. Order intake in Renewables was around $200 million, taking the backlog to $600 million. As I mentioned earlier, Seaway7 has been awarded preferred supplier status on several projects, and these should rebuild the backlog over the coming months. Revenue from renewables was $374 million, flat year-on-year, reflecting continued high activity on the Seagreen project. During the quarter, Formosa 2 and the foundation scope of Hollandse Kust Zuid were completed. Adjusted EBITDA was $21 million, up slightly year-on-year, resulting in an adjusted EBITDA margin of 5.5%. Slide 15 shows the cash flow waterfall for the third quarter. Net cash generated from operating activities was $210 million, including an $87 million improvement in working capital. Year-to-date, the build in working capital has been just $9 million as a result of project rephasing into 2023, notably procurement related to Mero 3 and Marjan 2 as well as management's further efforts to optimize cash. Cash conversion measured in the conversion of adjusted EBITDA into adjusted operating cash, was 1.4x. Net cash used in the financing activities was $76 million, mainly attributable to purchases of property, plant and equipment associated with vessel dry docks and upgrades. Free cash flow in the period was $131 million. Net cash used in financing activities was $60 million. This included $27 million of lease liability payments mainly related to chartered vessels and $21 million of share repurchases. At the end of the quarter, cash and cash equivalents was $533 million, and net debt was $33 million, which included lease liabilities of $204 million. The group's liquidity includes $1 billion of committed undrawn borrowing facilities. In March, as part of our commitment to return excess cash to shareholders, we announced a share repurchase program of approximately $70 million. As of market closing yesterday, $45 million or 64% of the $70 million have been utilized. To conclude the financial review, Slide 16 shows our expectations for the full year 2022 as well as some preliminary guidance for 2023. Consistent with our update in July, revenue and adjusted EBITDA in 2022 are expected to be broadly in line with 2021. We now also expect net operating income to be broadly in line with 2021. We have updated our guidance regarding taxation. We expect taxation to be between $80 million and $90 million, adjusted upwards from between $50 million and $60 million. The revision is driven by a shift in forecast profitability towards higher tax jurisdictions, together with an increase in the forecast withholding taxes. In some instances, these withholding taxes will be recoverable under the contractual terms of our clients. There have been no other changes to the financial guidance, as I said, in quarter 2022 earnings presentation. Turning to our preliminary guidance for 2023. We expect revenue and adjusted EBITDA to be higher than 2022, and we are comfortable with the current 2023 adjusted EBITDA consensus of $663 million. We expect group capital expenditure to be within a range from $480 million to $500 million, including $310 million to $330 million associated with Seaway7. I will now pass you back to John.
John Evans: Thank you, Mark. On Slide 17, we have a reminder of our capital allocation framework. On the left, we have Subsea and Conventional, which benefits from the industry's youngest and most capable fleet of vessels, requiring little growth CapEx. The investment in the Subsea joint venture gives us an even stronger base from which to generate cash flow during this up-cycle and beyond. On the right, we have Seaway7, which, as a result of the Q3 funding plan, now has a firm foundation from which to become financially independent. On Slide 18, we have a reminder of our track record of dividends and buybacks over the past 11 years, which has seen over $2.2 billion returned to shareholders. We were amongst the first of our peers to reintroduce returns after the oil price shock of 2020 with a regular NOK1 per share dividend and a buyback of $70 million, which, as Mark said, we aim to execute before the Q4 results announcement in March. And now we'll move on to our outlook slides, starting with the prospects for Subsea market on Slide 19. Tendering activities remain high with a tender pipeline of around $16 million for the quarter, up 20% from the prior year, and discussions with our clients remain positive despite uncertainties in the global political and economic environment. Regionally, the story remains consistent with customer spending focused on three hotspots, Norway, Gulf of Mexico and Brazil. We have also seen an uptick in opportunities in the UK and Saudi Arabia. As we near the end of the year and the cutoff for the Norwegian government tax release scheme, we anticipate the conversion of FEED studies to fund EPCI projects. In Brazil, Petrobras continues to move ahead with its planned DSOs. Having remain focused on the delivery of its ambitious plans, we do not expect any material changes to this strategy under a Lula presidency. Finally, in the U.S., the Subsea tieback market remains active. Whilst in Guyana, the award of our first substantial project bodes well for our future in this new region. Overall, we're encouraged by the way the recovery is progressing and remain confident in the outlook for Subsea and Conventional. Availability of our vessels is tight for 2024 and fighting for 2024 and beyond, which is driving improved pricing for our EPCI services. On the next slide, we have our Wind prospects. As we noted before, Seaway7 is the preferred supplier on East Anglia THREE, Seagreen 1A, He Dreiht in Germany and the U.S. wind project. We expect this pre-backlog to convert to firm awards during the end of the year and early next year, adding visibility to our fleet utilization into 2025. In addition to the prebacklog, we are currently tendering fixed offshore wind projects worth around $7 million. To wrap up, we turn to Slide 21. In Subsea, demand is unpinned by drawing for energy security after a pronged period of underinvestment by the industry. Meanwhile, we see little risk of new vessel additions in our core subsea market, suggesting the potential for a sustained opportunity. With a fleet of young vessels requiring only maintenance levels of reinvestments, we believe the Subsea business is poised to generate strong cash flows from 2024 onwards. In Renewables, Seaway7 is well placed to capture a share of the growing fixed offshore wind market with a fully funded new build program. Delivery of new vessels should coincide with step-change in the pricing and risk allocation on new projects, including those in our pre-backlog. We continue to believe this business has the building blocks in place to generate EBITDA margins of 10% or more. In New Energies, we have strong positions in floating wind and carbon capture. This strategy leaves us well positioned to generate returns for our shareholders over the long term as the energy transition unfolds. And now we'll be happy to take your questions.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Kevin Roger from Kepler Cheuvreux. Please ask your question.
Kevin Roger: Yes, first of all thanks for taking the question. The first one will be related to the Subsea business, please, and notably the wording that you had in the press release saying that the market start to be very tight for 2024, 2025. And so the condition on which you see your projects are today much better than before. I was wondering if you can provide us more color on what kind of margin you can embark in the new orders that you get in the Subsea business, please, for the coming years. And notably one question also on a specific project related to the pricing power of the industry. It has been said that the discussion on a project that is Mero-4 in Brazil have been ended in the third part between Siem and Petrobras. So is it the kind of work that you can do in 2024, 2025, if you can give us also some elements on that side? And the last question on my side. You have a pre-backlog that is quite large, something like $1 billion in Subsea, if I'm correct, and $1 billion in wind, do you have more visibility on the timing for this pre-backlog to get subject to FID and so coming into an order, please?
John Evans: Okay. Thank you, Kevin. Let me work backwards and then we will take the questions in reverse order. In oil and gas, we have positions in a number of projects, for example, in Norway, which we do expect to turn in deferred work out at the end of Q4 or early Q1 next year. As I mentioned in our prepared remarks, that's associated with supporting both Equinor and Aker BP in their work, which is associated with the Norwegian tax break that requires PDO submission by the 31 of December. So the on gas work, we would expect that to turn into work, hopefully, the latest Q1 next year. So that has a path for us. In terms of the wind, the wind prospects are primarily related to UK projects, where our clients understood their positions on the contract. The difference awards that we've done earlier this year and are now going through the CFD – sorry, their own internal FID reviews. And again, we expect those to be back end of this year, early part of next year. The only flat in the horizon there is any potential tax changes that may come out of today's budget in the UK, again, as part of the timing which all that fits together. So we can see a path, but most of this pre-backlog should be in our books by the end of Q1 next year, all things being equal. And Mero-4, I can't speak on behalf of Saipan. We know that they had built their package. We have not bid our package as we had no availability in the original windows. But we have availability slightly later if the windows were adjusted in new bidding process. So again, we've indicated that we've been asked by Petrobras our availability, so we told them what our availability is. So we'll see how they engage with the market if they want to adjust their windows to a slightly different availability period later than we could originally offer on Mero-4. In terms of margins, Kevin, I think, I'll give you the usual answer I give that every project is a step-by-step adjustment. So as each project goes into the backlog, it generally has a slightly better margin than others. It is not a huge step-change that we are seeing, but it works its way upwards. We're at that lowest point in the cycle in the double-digit EBITDA margin, but not much higher than that at the moment. We are building up the way, and we expect our margins to be heading towards the high EBITDA teens as this margin accretion works its way through. So I think just keep thinking of it as incremental movements quarter-on-quarter, and I think we should be okay in terms of how we see that work. But of course, we've talked to the market before the 2023, has been a little in the last of the lower-margin work. And I think in our prepared remarks, we talked about our inflection and our profitability in the second half of 2023. So hopefully, that gives you flavor how to think about it.
Kevin Roger: Okay, perfect. Thanks for that.
Operator: Thank you. We will take our next question. The question comes from the line of Nikhil Gupta from Citi. Please ask your question.
Nikhil Gupta: Hi. My question is in terms of when you say capacity for the vessels it's quite tight in 2024, 2025. So how does that compare – like how much is already booked for 2023, 2024 for Subsea 7 and for the industry? So just comparing like Subsea 7 and the industries. That's my first question.
John Evans: I think the way to look at it at the moment is this is about the key enabling assets. We have a large pool of assets, but we are very clear that our big rigid pipelayer and our very largest heavy construction vessels are the key enablers. Generally, those assets then spin off work in a sort of fixed ratio down towards our smaller asset base. As we sit here today going into 2023, we are comfortable with our backlog in terms of what we have got. And as I discussed earlier on Kevin's question, we can see a path for more awards to come into 2023 and 2024. We know where our key competitors' assets are and what work they have awarded themselves. So it's tightening. That's the message we've given. It's definitely tightening not just for us, it's tightening for everybody in that market. That's been for us the tightening that allows the pricing to adjust. And as that tightening gets closer there. As Kevin said, projects like Mero-3, though obviously, one of our competitors did push the pricing up to a point where probably a [indiscernible] three-fold that they would look at the schedule, and the timing and the constraints of that project. So that's the dynamics of the market on the upward tick, and that's the way we need to think about it, I think.
Nikhil Gupta: Okay, thanks. That's clear. And if I could, just on 2023 guidance, when you say EBITDA higher than 2022. Like consensus is already 30% higher, so just probably a bit more color around that would be helpful.
John Evans: I’ll pass to Mark.
Mark Foley: Yes, sure. Thank you. As I remarked in my prepared statement, we are comfortable with the current 2023 adjusted EBITDA of $663 million. So that gives you an indication of the movement from 2022 into 2023 around the EBITDA expansion.
Nikhil Gupta: Okay, thanks. I will turn it over.
Operator: Thank you. We would take our next question. Your next question comes from the line of Jørgen Opheim from Pareto. Please ask your question.
Jørgen Opheim: Hi guys, thanks for taking my question. Just a quick one the funding. Is the committed funding from Subsea 7 to Seaway7 in addition to the already drawn $195 million unsecured working capital facility? Or will the new facilities replace that facility? Thanks.
Mark Foley: Yes. Thank you for your question. This is Mark. So as part of the new funding arrangement for a Seaway7, Seaway7 will pay back the amount drawn from the Subsea 7 working capital arrangement and will utilize the $300 million RCF. Similarly, there is a 150 million shareholder RCF facility in place as well. However, the firm expectation for that bridge financing is that it will not be drawn, but instead replaced by other sources of corp debt. So the idea through the financing of Seaway7 through the packages, which we've announced both debt and equity, is that the amounts drawn from the Subsea 7 working capital will be paid back.
Jørgen Opheim: Thanks.
Operator: Thank you. We would take our next question. And your next question comes from the line of Christopher Mollerlokken from SpareBank 1 Markets. Please ask your question.
Christopher Mollerlokken: Yes, good afternoon. This is Christopher Mollerlokken from SpareBank 1 Markets. The backlog for the renewable business remains low in 2023. But as you alluded to in your prepared remarks, there are some potential contracts, which are expected to be awarded relatively shortly. But you could you just remind us how that will impact 2023? Or will those contracts mainly come for execution in 2024 and thereafter? Thank you.
John Evans: Yes. Thank you, Christopher. I think I gave part of the answer to Kevin, but again, I can just reiterate here. So, we have declared publicly before this call and in this call what the pre-backlog is. There is a project in Germany called He Dreiht, which will go through its usual sanctioning work which is a T&I type project, so that will not have a material impact to 2023. We also have a project in the U.S., which we cannot declare at the moment. But again, that will not be material to 2023. The main areas for 2023 will be Sangomar and Seagreen 1A, and they will be the ones that will have an impact there. As well as continuing to liquidate the work we're doing, as we discussed earlier, on Dogger Bank A and B as well as the portfolio of Taiwanese cable project contracts there. As I said in Kevin's question, those projects will go through their final investment decisions with their operators in the next few months. And the only thing that we're all keeping an eye on is what will happen in parallel to this call were the UK Chancellor's discussion about his taxation plans. If there is any major changes in people's views on taxation and things that may or may not speed up or slow down the award of those contracts. So for us, we are reasonably comfortable that we have a clear plan for next year as how things fit together. And we're in dialogue with all our key clients. And it's one where, again, the exact timing of which this turns and award as of January to February, March, but we're pretty clear that we have a plan here.
Christopher Mollerlokken: Thank you.
Operator: Thank you. We will take our next question. The question comes from the line of Guillaume Delaby from SG. Please ask your question.
Guillaume Delaby: Yes. Good afternoon. Two questions on the tightening once again; so if I'm listening carefully to you and if I'm listening carefully to your peers, i.e., Saipan 50% CE. I got the impression that there is a step change between what we have been saying and what your peers have been saying in Q2 and what you are saying now regarding tightening in 2024. So am I correct to assume that over the last three or four months, there has been basically some massive acceleration of securing assets? This is my first question. And the second related question, I understood from your answer to Kevin's questions that at this stage, this tightening is not yet really translating into future higher margin, should we understand that this ramp-up in tightening should nonetheless translate in higher margin by 2025 or 2026? Thank you very much.
John Evans: Let me take your second question. The point is all the blended set of projects that we have running through each year. And my answer has been pretty consistent over the last few quarters is that each project is better margin than the other, so the blend. So directionally, absolutely, we're heading to high margins. We're pretty comfortable here that we can see good higher margins for the business in 2024 and 2025. I think we quoted the last two quarters that we can see our vessels are tightening for 2024 and 2025. So I don't think it's a massive acceleration, but it's exactly what we thought would happen between us and our peers. Projects one by one are getting awarded, which is tightening the vessels. If we come back to the question on Mero 4, what happened on Mero 4, well, we couldn't bid in Mero 4 because we had no vessels available in the window that was originally offered. So – which, again, means there's a tightening happening there. So I think it's not a massive tightening, but the logical conclusion as different awards get made to the market whether it's to us or to our two main competitors, it takes capacity out which then means that the Mero 3 capacity is tighter. So I think the message has been pretty consistent from our side, and I think it mirrors what our peers were saying, but that the effect of the tightening is now real projects are now awarded quarter-on-quarter, which takes a for last year.
Guillaume Delaby: Okay. To be just – just maybe to be more correct, it is more your peers where I noticed a change in the tone to be honest.
Mark Foley: Yes. I don't think we're misaligned by the way. It's just the fact that we said for the last two quarters, previous two quarters, that we could see a tightening coming in 2024 and 2025. I think everybody has now seen it, it's there and then I think everybody in the industry sees the same situation.
Guillaume Delaby: Thank you very much.
Operator: Thank you. We will take our next question. The question comes from the line of James Thompson from JPMorgan. Please ask your question.
James Thompson: Great. Thanks very much for you answer. Just firstly, John, just in terms of sort of progress to projects, and I'm sure it's varied quarter-by-quarter. But didn't seem like you made an awful lot of progress on things like Mero 3 and Bacalhau, particularly versus Sakarya, which is a relatively fast project anyway. But maybe could you give us some views there. I mean, obviously a lot of political change happening right now. Is there a bit of a risk to the rate at which Petrobras think here?
John Evans: Yes, James, I think like all these things projects like Sangomar, Gekko and Sakarya made progress because we've got a whole raft of assets working on them all at the same time. So we ramp up through very quickly. As we said in the prepared remarks, Mero 3 is about procurement. Bacalhau is more advanced than that. So those two projects are on exactly through the plan. We're not slowing down, we're not speeding up. Bacalhau was getting ready to start the school base to weld up all the materials that we've done, and continued strength for us then to install in a couple of quarters' time. So we're not seeing any change in any pace in Brazil. And in our prepared remarks, I made the comment that we don't think that Lula presidency should interrupt the progress, although you have the usual review of Chief Executives of Petrobras, et cetera that will take place. One reflection that I've got is we've been through many changes politically, but the machine has kept moving in terms of its plans, and we've seen no wavering in terms of their ambitious plans. They've ordered a bunch of FPSOs, the conversation on of Mero 4. As a matter of fact, they've ordered an FPSO and now they're trying to secure their service capacity to go with it. So I think at the moment, we're pretty comfortable here that the key projects that we're working on are all moving to a plan. And yes, there's a lot of challenges in the world politically and economically, but certainly it's more about acceleration than slowing down is what we're seeing at the moment.
James Thompson: Okay. Thanks. And then maybe to confirm kind of capital allocation, John, I mean what do you think about potential to kind of increase distribution some way or another over the next couple of years? I mean, obviously, you committed funds to Subsea 7 this year and you're going to commit significant funds over 2023 and 2024 of the new Subsea JV. Maybe what could you say really about whether that limits or not ability to kind of grow distribution to shareholders? Maybe following on from that, actually, I've kind of asked a few questions together. I just wondered, obviously a lot of questions about the time market in 2024, 2025. Clearly, upstream companies remained relatively capital disciplined now for some time. And actually both your sales and other services too. I just wondered do you see any kind of ambition to build new kind of enabling assets within your sales, your peer group. And does this kind of commitment to the Subsea JV maybe restrict your ability to do that if it is getting very tight?
John Evans: Okay. Many, many questions, and then I'll pick up with one there. Okay. New assets, as I said, in my prepared remarks. We see no be building new assets in the oil and gas space, and we don't see any plans for anybody to do so. That's okay by us, just keeps tightening the market and doing it we've seen from the last cycle, a lot of people learned the hard way that building on ship doesn't mean you become 1 of the big three players in this industry. So I think people understood after that, that the entry ticket into this space is very expensive. It's not just the assets, the quality of the offshore and onshore people and the whole systems and approach you take. I think the joint venture on the Subsea will just strengthen our position in that and the entry barriers will be higher. So I think for us, it's about pretty comfortable that at the moment, we've got some very good years ahead of us there. Cap discipline from operators, absolutely, but we've been through many cycles in the past where again, they will try to remain capital disciplined as they can. Ultimately, today, the world has transformed a set of equations and a sort of problems here about energy supply and energy plan, and how they want to do that. And there's many choices in which they choose to do that, they need more wind or more oil and gas. We're pretty sure that we'll have a bit of everything that's on offer. So for us, we're cognizant of the fact that our clients will always make the best decisions for their shareholders. In terms of distributions, I'll have Mark to talk about just the way you think about that?
Mark Foley: So as you're aware James in March we introduced a dividend policy in NOK 1 per share. In addition, we have paid around NOK 30 million to shareholders of record in May, and with $45 million through our $70 million share repurchase program. As we've indicated, we do expect 2024, 2025 cash flow generation to be strong. And I'm sure the Board will reflect upon that around our capital allocation policy and our returning excess cash to shareholders. So hopefully, we remain and will remain committed to our policy of ensuring that shareholders are well rewarded for their investment in Subsea 7.
James Thompson: Okay. Thanks both. I’ll hand over.
Operator: Thank you. We will take our next question. Please stand-by. The question comes from the line of Haakon Amundsen from ABG Sundal Collier. Please ask your question.
Haakon Amundsen: Yes. Hello guys. Two questions for me, please, just on cash flow. You did have some comment on working capital in your prepared remarks, Mark. I just want to clarify, has the overall picture in terms of change in working capital improved due to your efforts in that regard? And secondly, when you carve out the Seaway7 portion of your 2023 guidance CapEx, it looks like the running maintenance CapEx is a little bit up on Subsea 7 level. Is that just inflation? Or is there any special elements to that? Thank you.
Mark Foley: Yes. So let me add to the working capital piece first, Haakon. Firstly, yes, we are pleased with the results of our efforts so far this year to optimize cash, particularly working capital. But what we have seen is the primary driver is a displacement of the working capital outflows that we expected in 2022 into 2023, primarily as that relates to the Mero 3 project in Brazil and Marjan 2 project in Saudi Arabia. But I can assure you about management and everyone in Subsea 7 is very focused on improving working capital because we want to convert as much profitability in a period to cash as possible. In terms of your second question, yes, there has been an uptick in the non-Seaway7 capital expenditure, partly that has to do with inflation, but more importantly it has to do with a number of strategic initiatives that we have ongoing within the organization. So that could be the vessel hybridization of certain assets within the fleet, as our commitment to digitalization as well as our investment in a new SAP system. So that is contributing to a slightly higher underlying CapEx than you saw this year.
Haakon Amundsen: Okay. Okay. Thank you.
Operator: Thank you. We would take our next question. And the question comes from the line of Mark Wilson from Jefferies. Please ask your question.
Mark Wilson: Okay. Good morning gents. And I would like to – or good afternoon even – I'd just like to ask a second question on CapEx, please, and that is the guidance for this year that's unchanged at just over $400 million. Should we expect that CapEx to come through in 4Q, the delta versus what you spent? That's the first question. And then the second one, you mentioned how the working capital facility for Seaway7 is going to be repaid. Is that also something that will happen in 4Q? Thank you.
Mark Foley: Okay. So Mark, we have some material discrete cash CapEx payments in Q4. Our current view is that, that cash will leave the organization. However, as you know, these aprons could slip into Q1. So the guidance that we've given at the moment is our best year. However, some of that could slip into early next year. If we then move on to your second question, I would expect the working capital facility from Seaway7 to be reduced over time. So I wouldn't expect an immediate readjustment in quarter four, some of that will drift into 2023.
Mark Wilson: All right. And maybe then if that – on the CapEx point, if that could slip because it stayed very consistent all through the year, but you've only spent less than half of it. So maybe you could just say how much of the spend so far this year of CapEx has been Renewables then?
Mark Foley: Yes. So in terms of Q4, the majority of that will be renewables in terms of payments that we have for the Ærfugl, and to a lesser extent, them to survive. Those are the primary in the period 3 items are affected [indiscernible].
Mark Wilson: Thank you. I hand it over.
Katherine Tonks: Can we just take one more question, please, operator? Thank you.
Operator: Thank you. And the question comes from the line of Joe Carey [ph] from Bank of America. Please ask your question.
Unidentified Analyst: Thank you guys. I won't keep you waiting, all of my questions have been asked already? Thank you very much.
John Evans: Okay. Well, thank you very much, everybody, for joining us on this call. Hopefully, we've been able to give you the answers to your various different questions. As ever, Katherine is available to support offline, any other questions or comments you may have on Subsea 7. Thank you very much, and we look forward to talking to you about our Q4 results early in 2023. So thank you very much. All the best.
Mark Foley: Thank you. Goodbye.